Operator: Good afternoon, and welcome to the Evoke Pharma Fourth Quarter and Full-Year 2023 Earnings Conference Call. Currently, all callers have been placed in a listen-only mode. [Operator Instructions] Please be advised that today’s call is being recorded. I will now turn the call over to Daniel Kontoh-Boateng. Please go ahead, sir.
Daniel Kontoh-Boateng: Good afternoon, and thank you for participating in Evoke Pharma's conference call and webcast today. With me today are Dave Gonyer, Evoke's Chief Executive Officer; Chris Quesenberry, GIMOTI's Chief Commercial Officer from Eversana; and Matt D'Onofrio, Evoke's President and Chief Operating Officer. By now, you should have a copy of the press release we issued earlier. If not, it is available on the Investor Relations page of our website at evokepharma.com. We encourage everyone to read today's press release as well as Evoke’s annual report on Form 10-K, which is now filed with the SEC. The company's Form 10-K and earnings release are also available on Evoke's website. Please note that certain information discussed on the call today is covered under the safe harbor provisions of the Private Securities Litigation Reform Act. We caution listeners that, during this call, management will be making forward-looking statements. Actual results could differ materially from those stated or implied by these forward-looking statements due to risks and uncertainties associated with the company's business. These forward-looking statements are qualified by the cautionary statements contained in Evoke's press releases and SEC filings, including its annual report on Form 10-K and subsequent filings. This conference call contains time-sensitive information that is accurate only as of the date of this live broadcast. Evoke undertakes no obligation to revise or update any forward-looking statements to reflect events or circumstances after the date of this conference call and webcast. With that, I would now like to turn the call over to David Gonyer. Dave?
David Gonyer: Thank you, Daniel, and thanks, everyone, for joining the call this afternoon. As was described in today's press release, 2023 marks a milestone in Evoke's journey, not just commercially, but also in fulfilling our core mission, which is ensuring GIMOTI is within reach for every patient who needs it. Let me tell you why this core mission is so important. It's because it's about the patient and their experiences that can and will fuel the progress to help us fuel the progress as an organization. A testament to our efforts comes from the countless positive stories we've been told from health care providers, patients and our own sales representatives who hear and tell us some amazing patient success stories on a daily basis. While gastroparesis impacts predominantly women, today, I'd like to share just a brief very inspiring story that was just shared to us this week, about a 30-year-old male who battled both type 1 diabetes and severe gastroparesis. This man who was in and out of the hospital just about every month because of his gastroparesis, shared with this health care provider that, since starting on GIMOTI, he hasn't had a single hospital visit, not one. And to his admission, it's been life-changing for him. It's stories like these that will push payers and providers and advocates to fight for patients who suffer from this insidious disease so they can receive the best care possible. Now this is just one of many affirmations we have heard that continues to energize our commitment. Now while we're humbled to receive these stories of success, we also want to encourage providers to do more to diagnose and treat these patients with gastroparesis. But unfortunately, the norm for patients is to wait years before they're diagnosed. And then often told there's not much that can be done for them. When treatment is prescribed, all too often, payers are pushing the cost to the patient, or outright denying coverage. Payers can do better and patients get their better treatment. The compelling evidence for GIMOTI goes beyond anecdotes. The scientific groundwork, the publication of our Phase 3 clinical data and the peer-reviewed and plenary presentations of our real-world health resource utilization studies at leading gastroenterology congresses, demonstrating a reduction in emergency room and hospital visits, and the significant total health care cost savings compared to oral metoclopramide underscores the value of GIMOTI versus the current gold standard. Our story is really simple and straightforward, and it's shaping up to be very compelling as well. GIMOTI achieves rapid and direct absorption in the bloodstream. GIMOTI provides documented symptomatic relief as early as one week. And now GIMOTI shows improved outcomes versus oral metoclopramide. The drug delivery through the nose avoids the problem of the disease, which is an inability to predictively deliver pills into the small intestine to be absorbed. Importantly, many patients previously had oral metoclopramide in the HRU study or the health resource utilization study, who were switched to GIMOTI, likely because they were not doing well, experienced the same reduction in ER visits and hospitalizations while taking GIMOTI, confirming its place as a transformative medicine in gastroparesis treatment. Now let me switch gears a bit and turn to some highlights for 2023. I'm happy to report that we doubled our net revenue for GIMOTI over the last year. The number of new prescriptions grew by a notable 86% and total prescriptions dispensed increased by 101% year-over-year, clearly demonstrating the growing demand for GIMOTI. We also augmented our prescriber base by 72% while amplifying the depth of their prescribing by 36%. Our commercial team's relentless focus propelled our targeting and outreach to health care providers, driving our financial achievements above our expectations. At important gastroenterology gatherings such as Digestive Disease Week and the American College of Gastroenterology Conferences, our data was selected by the respective governing boards for plenary presentations at both meetings. This is a testament to the strength and the importance of the health resource utilization study we perform, as data highlighted GIMOTI's role in significantly reducing ER visits and hospitalizations, outperforming oral metoclopramide and delivering care at a reduced price. This evidence not only resonated with GI professionals but also underscores our commitment to patient care and economic efficiency for payers. Furthering our strategic initiatives, we transitioned our pharmacy services to ASPN. The strategic alignment with ASPN's robust platform positions us to better meet our distribution needs, enhance patient access, and streamline our services. And Chris will elaborate a little bit more on this in a moment. Looking back on a year of dynamic growth, our strategic investments have paid dividends. We've not only strengthened the belief in GIMOTI, but doubled the patient count on therapy. As we lean into 2024, we're aiming high with a projected net revenue of approximately $14 million, nearly tripling our 2023 performance. And with that, let me turn it over to Chris to talk about our current commercialization activities and plans moving forward for this year.
Christopher Quesenberry: Thanks, Dave. To confirm the uptake and acceptance that Dave just spoke about and revalidate last year's commercial strategy, we also took a look at providers consecutively prescribing GIMOTI after their initial script. This slide denotes that close to 30% of our cumulative prescribers, which totaled 1,748 physicians, have prescribed GIMOTI, 5, or more times. The riders that have written prescriptions continue to write more and more over time. From our standpoint, this is highly encouraging and a strong testament to the drug's efficacy and prescriber and user-friendly profile. The unabated adding of new prescribers or so-called breadth of prescribing in 2023, while simultaneously continuing to grow the depth of prescribing, is difficult to do and is also an indication that there is still significant potential for growth for GIMOTI. We have not reached any ceiling of use for GIMOTI. Quite the opposite is true. While not shown on the slide, our market share of metoclopramide -- of the metoclopramide market showed similar gains throughout 2023. Encouragingly, as you look across important prescriber audiences, the share of GIMOTI compared to oral metoclopramide grew throughout 2023, and it's progressively stronger as you move from all potential prescribers of GIMOTI to those that are not call plan target list, and further improves as you look specifically at call time targeted gastroenterologists. Importantly, our highest share for GIMOTI is with nurse practitioners and physician assistants, who provide a significant portion of the medical care for patients with gastroparesis as many gastroenterologists spend less time in clinic, deciding instead to perform procedures or scopes. As mentioned, our objective is to nearly triple our performance in 2023 -- or excuse me, in 2024. In 2023, we built a solid foundation and believe we have earned the right to challenge our provider and payer colleagues to offer GIMOTI to a broader base of patients within diabetic gastroparesis. Throughout 2024 and beyond, our focus remains steadfast, reinforce the belief in GIMOTI amongst providers. Importantly, we will make clear that oral metoclopramide did not have the same health care resource utilization in patient reduction that GIMOTI provided and underscore that the nasal route of administration matters. For appropriate patients, we will ask providers to switch to GIMOTI, thereby broadening and deepening prescribing. We have addressed improving the fill rate for GIMOTI and will continue this imperative throughout 2024. We earned a significant amount of prescribing of GIMOTI in 2023 and much of it was unable to be filled because providers sent the prescription to a local retail pharmacy. We will use tools and partners to mitigate this and guide scripts to a pharmacy in our network to capture scripts appropriately. Lastly, we will increase our communication and education for tardive dyskinesia and leverage latent concerns to clarify risks and encourage appropriate benefit risk discussions. Here again, there is tremendous untapped potential to clarify appropriate use. We will be clear about who is inappropriate for GIMOTI and request those who are appropriate to be offered GIMOTI. Tactically, here's how we plan to build on these initiatives. We will continue to promote and advocate for GIMOTI as the optimal choice for gastroparesis treatment due to its optimized nasal administration. We will support this with our quantitative and qualitative health care utilization data. And currently, we are partnering with pharmacy organizations to leverage their systems and services to mitigate prescriptions that fall outside our distribution lines and never reach patients. Additionally, with ASPN Pharmacy joining our network, we will gain access to their extensive pharmacy distribution network, including specialty drug pharmacies, improving GIMOTI's fill rates and ensuring our patients receive the treatment they need without delay. Through appropriate channels, we'll also persist to demystify the risks associated with tardive dyskinesia or TD, through education and transparency. For background, tardive dyskinesia is the side effect of select medications more commonly seen with older antiseptic medication that causes involuntary movements to one's face and body that can't be controlled. The recent ACG guidelines indicate the risk of this side effect due to exposure to metoclopramide is lower than previously thought. In fact, it's likely less than 1%. And our only claims analysis presented at DDW in 2022 confirmed ACG's conclusion. By presenting clear data, including the low incidence, and which at-risk patients to avoid, we are shifting the narrative from fear to informed prescribing and monitoring. We believe this will reset perceptions and encourage physicians to prescribe GIMOTI to appropriate patients with confidence backed by a comprehensive understanding of a safety profile. As we build demand and utilization of GIMOTI, we've taken deliberate strides to enhance the accessibility of GIMOTI by evolving our distribution and pharmacy capabilities. Our journey began with EvokeAssist or Eversana Pharmacy, which allowed us to implement the system swiftly though it relied on manual processes and had longer fulfillment times. As we progress to VidaCare, we significantly upgraded our capabilities, integrating seamlessly with medical workflows, enabling electronic prescribing, facilitating automatic refills -- excuse me, automated refills to expedite the filling process. Now with Asembia, we've taken our distribution to the next level. Building on our previous advancements, Asembia offers real-time patient communication via text, complete end-to-end automation, including prior authorizations, and transparent prescription status through accessible portals to physicians and patients. This not only streamlines the prescription process for health care providers, but also ensures the patients receive their medication promptly. Most importantly, Asembia's robust infrastructure and expansive pharmacy network position us to further scale our reach and positively impact patient outcomes. These strategic enhancements embody our commitment to optimizing the GIMOTI access and signify our unwavering dedication to patient care. Although we've only just initiated our partnership with Asembia, also known as ASPN Pharmacies, in November of 2023, it's clear we've identified a critical lever for enhancing our fill rates. Through refined strategy and communication and process optimization within the ASPN platform, we've seen a tangible uptick in our conversion rates. Specifically, there's been a 2% overall increase in the number of new prescriptions filled, even more impressive when we exclude and process prescriptions, and improvement jumps to 22%. Moreover, we're seeing a significant shift towards greater efficiency with a 6% increase in sales that are reimbursed without the need for our patient affordability programs, a testament to streamline process, an inherent value proposition on GIMOTI. Additionally, ASPN's focus on rapid and transparent patient communication is yielding results. With ASPN, there's been a 12% reduction in patient-initiated abandonment of prescriptions, underscoring our commitment to ensuring that patients not only start to continue their treatment with GIMOTI as appropriate. These metrics are not just numbers. They represent real improvements in patient access and adherence, which are vital to our mission of providing GIMOTI to all who can benefit from it. These benefits will also fall to the bottom line. As we fortify our commitment to ensuring GIMOTI reaches those in need, leveraging technology remains critical. By actively reminding health care professionals to write prescriptions directly to ASPN pharmacies at the point of prescription within electronic medical records, we are addressing retail leakage effectively. Using this approach, we successfully made headway in intercepting scripts that initially intended to be prescribed to a retail pharmacy, and successfully redirected over 1,500 of them to our pharmacy, including ASPN. We believe that strategic communication effort with prescribers, pharmacists and patients alike is critical cementing GIMOTI's presence in the market and improving patient outcomes. Based on this success, we have recently expanded our coverage in partnership with other EMR partners. Our messaging is now enabled in nearly half of all electronic health record systems, and we have added new partners in Dr. First and ConnectiveRx at the beginning of this month, ensuring that GIMOTI prescription pathway is even more clear and direct. Now last year, we unveiled two real-world evidence studies that demonstrated the qualitative and quantitative value of GIMOTI in addressing health care resource utilization of patients with diabetic gastroparesis. Image on the left-hand side of the slide shows the inpatient hospitalizations were reduced by 68% in patients using GIMOTI compared to oral metoclopramide. And it also showed emergency department visits were similarly reduced significantly by 60% in those taking GIMOTI versus oral metoclopramide. The 257 patients taking GIMOTI experienced 34 fewer hospitalizations and 84 fewer ER visits over a 6-month period. That is a significant win for patients who can spend more time at home with their families or doing simple things that we all take for granted. The reductions will also be a significant win for patients. Amazingly, looking to the right-hand side of the slide, despite numerically larger prescription costs in the GIMOTI arm, total health care costs, which is the sum of all medical costs and pharmacy costs encounters, were significantly lower. In fact, over $15,000 lower for patients taking GIMOTI, than those taking generic oral metoclopramide over a 6-month period of time. These data sets reinforce GIMOTI's clinical benefits and illustrates its profound potential economic impact. The substantial reduction in hospitalization and emergency department visits speaks volumes about its role in enhancing patient daily life and reducing the burden on our health care system. Moreover, the significant cost savings highlight GIMOTI's value proposition, marking it not only is a superior treatment option, but also financially responsible choice for health care providers and patients, payers. I would argue that this is more than a win-win. It's a new standard in the treatment of gastroparesis, setting a precedent for how we evaluate treatment, efficacy and cost effectiveness for patients with this debilitating disease and progressive disease. No other agent, in fact, no other modality used for gastroparesis has these types of breakthrough data demonstrating outcomes. And so we're going to test these data with payers. In fact, we're doing that right now with insurers, PBMs and IBMs alike through market research, and asking them how these data might impact coverage decisions. We're in the midst of wrapping up this research, but what we are hearing from payers is that our health care resource utilization data has enough provocative elements to potentially impact the coverage decisions for GIMOTI based on the same HRU data that I showed you on the previous slide. A significant portion of payers who are not currently covering GIMOTI indicated that data presented would make them reconsider coverage decision, with 40% of them affirming outright and another 40% expressing willingness to reconsider with additional evidence of costs and savings. Additionally, of the payers who currently do provide coverage for GIMOTI, nearly half of it would further ease the process documentation requirements for obtaining for GIMOTI. This preliminary feedback bolsters our conviction that providing robust evidence can shift perspectives. Payers are looking for more detailed analysis of cost saving drivers and peer-reviewed data to underpin credibility. We recognize this need for continued evidence generation, focusing on key factors such as reduced hospitalization lengths, lower readmission rates, and the overall reduction of the prescription burden. Additionally, the reduction of burden of illness, the avoidance of unnecessary medical procedures and assurance of safety are pivotal components that would enhance the value story in GIMOTI. Now one of the main reasons for hesitancy among providers to prescribe GIMOTI is the fact that GIMOTI carries a box warning for tardive dyskinesia, similar to what oral metoclopramide might have in their label. TD is a movement disorder that causes involuntary movements to the face or body. Certainly, it can occur with metoclopramide, but TD is more commonly associated with antipsychotic medicines. We've come to appreciate that TD is a mystery for gastroenterologists. We don't deal with it on a regular basis, and there is a significant gap in their understanding of TD and how often it occurs. Their apprehension is leading many to avoid using metoclopramide or reserve it for the more refractory patients. We need to shift this narrative from being afraid and avoiding to one of educated and monitor. We will leverage our label and the excellent information within it to help providers see that the box warning is a road map and the label information are guardrails to help the provider avoid prescribing to patients at risk and, thereby, develop a clear understanding of the many appropriate patients who can benefit from GIMOTI. We will update HCPs with the most recent data and guidance around the risk of TD with metoclopramide, which again, it is likely less than 1%. We will educate on which patients to avoid and we will clarify that, to date, no TD has been reported in the clinical development program or since the launch of GIMOTI in October of 2020. We will intensify our educational efforts moving forward to ensure that providers can make informed benefit/risk assessments when considering GIMOTI for their patients. Our multipronged approach includes educating our sales team with the latest insights on tardive dyskinesia, empowering motility specialists through symposia, providing -- and providing our sales force and targeted resources. And lastly, engaging patients through their providers with education so they can make informed choices. We continue to engage KOLs within gastroenterology, but importantly, have expanded to educate and inform ourselves with KOLs within psychiatry and neurology specialties, like Peter MacAlister of the New England Institute of Neurology and Headache. And this is to inform our own education efforts. Our commitment is to ensure that every stakeholder, from health care providers to patients, is fully informed about GIMOTI, thereby supporting its appropriate use and reinforcing our dedication to patient safety and well-being. With that, I'll turn the call over to Matt to review the financials and closing remarks.
Matthew D'Onofrio: Thanks, Chris. Once again, thanks again for everyone joining us today. I'll get right into the books of financials for the fourth quarter and full year and 2023 results. As Dave mentioned, for the fourth quarter, net product sales were approximately $1.7 million, compared with $796,000 during the fourth quarter of 2022. And the net loss was approximately $2 million or $0.59 per share, compared with $1.8 million or $0.54 per share for the fourth quarter of 2022. For the year ended December 31, 2023, net product sales were approximately $5.2 million, compared with approximately $2.5 million for the year ended December 31, 2022. And the net loss was approximately $7.8 million or $2.33 per share, as compared with a net loss of $8.2 million or $2.62 per share for the year ended December 31, 2022. The year-over-year increase in revenue was due to higher net product sales in 2023 resulting from prescription sales through pharmacy service partnerships with ASPN Pharmacy, as Dave and Chris elaborated earlier. We captured prescriptions sent to retail pharmacies that previously didn't have the ability to order product, and sharing with providers in the GI community the exceptional head-to-head real-world data comparing GIMOTI to oral metoclopramide showing improvements in fewer hospitalizations and ER visits with GIMOTI compared to oral. Research and development expenses totaled $23,000 for the fourth quarter of 2022, compared to $27,000 for the fourth quarter of 2023. For the full-year 2022, research and development expenses were approximately $0.2 million, compared with approximately $0.3 million for the prior year. For the fourth quarter of 2023, selling, general and administrative expenses were approximately $3.5 million, compared with $2.3 million for the fourth quarter of 2022. For the year ended December 31, 2023, selling, general and administrative expenses were approximately $12.2 million, versus approximately $9.6 million for the year ended December 31, 2022. The increase in SG&A costs year-over-year resulted primarily from higher marketing royalty and Eversana profit sharing costs. We expect that selling, general and administrative expenses will increase in the future as we continue to progress with the commercialization of GIMOTI and we reimburse Eversana from the net profit obtained from the sales of GIMOTI. Total operating expenses for the fourth quarter of 2023 were approximately $3.6 million, compared with $2.3 million for the same period of 2022. And for the year ended December 31, 2023, total operating expenses were approximately $12.6 million, compared with approximately $10.3 million for the full year of 2022. As of December 31, 2023, cash and cash equivalents were approximately $4.7 million. We believe, based on our current operating plan with the existing cash, cash equivalents, including the proceeds from the recent public offering that we executed in February of 2024, as well as future cash flows from net product sales at GIMOTI, that that will be sufficient to fund our operations into the fourth quarter of 2024. While we are seeing new prescription trends increasing through February, beginning of the year typically has higher co-pay expenses for the company to cover and other discounting because of the changing coverage for patients, and patients needing to meet their deductibles and the renewals of prior authorizations. Recently, we've also been watching the situation with Change Healthcare closely to see what impact this may have on our business. It is clear that all health care entities were impacted by this, not just pharmaceutical companies or Evoke. Although Evoke and Eversana were able to put a solution in place within a week of the Change Healthcare outage, we are hearing from our partners and other industry experts that providers' inability to check patient eligibility benefits or submit claims has started to impact new prescribing across the brands they support. And lastly, a new opportunity that has gained some attention over the last several months was the ongoing interest in GLP-1 agonist or our glucagon-like peptide-1 agonist. Currently on the market is the association with gastroenterology side effects attributed to those products, particularly gastroparesis. We believe the increased use of GLP-1 agonist could increase the number of people suffering from gastroparesis. GLP-1 receptor agonists affect glucose control through several mechanisms, including enhancement of glucose-dependent insulin secretion, slowed gastric emptying and reduction of postprandial glucagon and food intake. Slow gastric emptying may potentially lead to symptoms similar to gastroparesis. Although definitive evidence attributing GLP-1 agonist specifically causing gastroparesis is limited, a recent study published in the Journal of American Medical Association found that the use of GLP-1s for weight loss compared with the use of bupropion/naltrexone was associated with increased risk of pancreatitis, bowel obstruction and gastroparesis. While these adverse events from GLP-1s have been relatively rare, even a 1% incidence rate could have an impact on the gastroparesis market considering the gigantic population, very large population expected to be treated with GLP-1s in the future. And with that, operator, we've completed our formal remarks, and I'll turn it over for questions.
Operator: [Operator Instructions] We do have a question from Yale I-Eh Jen from Laidlaw & Company.
Yale Jen: And congrats on the performance this year. I've got two or three questions here. The first one is, as you mentioned about the ASPN Pharmacy service that has improved your distribution, you have elaborated some, but could you give a little bit more color in terms of how that will impact on 2024 versus 2023 based on your evidence?
David Gonyer: Chris, do you want to take that?
Christopher Quesenberry: Sure. And thanks, Yale, for the question. So ASPN delivers a couple of different aspects of their platform that help us. One is through efficient communication with patients, they get more patients to return phone calls and result in fewer abandonment of prescriptions. So that is a key to -- in fact, that's the largest reason for leakage in our prescription funnel, is patients not calling us back. So they will significantly reduce that. The second thing is, is that they have strong relationships with payers and are integrated into those payer systems. So their efficiency in processing prescriptions and electronic prior authorizations is yielding a higher percentage of prescriptions that gain approval for those prior authorizations. And again, those approval prior authorizations mean increased reimbursed scripts, which certainly will help us from a revenue perspective. And the last piece, and one that we're excited about, too, is the fact that we are going to be adding pharmacies to our network through the ASPN network of pharmacies, which will give us access to pharmacies that have strong contract with payers, including Medicaid. And Medicaid is an important aspect for our growth in 2024.
Yale Jen: And maybe just a tack on this question, to answer here, in terms of the pharmacy, what kind of a distribution -- geographic distribution in the United States, more local or regional or more nationally?
Christopher Quesenberry: Our current pharmacies have coverage in all contiguous 50 states. So we have a good coverage from that perspective. As you can imagine, some states in terms of Medicaid, require you to have a local pharmacy in order to distribute the product. So that's why adding pharmacies are going to be important to us. In certain of those states, we can't deliver a prescription, even though we might have approval to do so. So we're strategically adding pharmacies that will augment our coverage, especially in Medicare and Medicaid.
Yale Jen: Okay. Great. And then maybe the last question here is in terms of $14 million sales guidance for 2024. Should we consider that as a little bit conservative? Or how should we overall think about this guidance? And thanks.
Matthew D'Onofrio: Yes, this is Matt. Yes, I guess we're not going to comment further on any further guidance. We're putting that out there in terms of what we believe is doable, what we've seen in terms of growth in the past. We believe that there's, as Chris said earlier, unlimited opportunity at this point. We haven't seen any curtailing of physicians' interest. We're in no way reaching some sort of significant market share yet with any of the targets that we're currently meeting with. So we think this is appropriate and very doable, and that's what we're providing guidance at this time.
Yale Jen: Okay. Maybe just one more question here. As you mentioned about GLP-1, gastroparesis is one of expected side effects. Just curious, up to now, have you ever treated patients that actually also taking the prescription of any of the GLP-1 whether that be subcu or oral drug?
Matthew D'Onofrio: Yes. Yale, it's a great question. I really appreciate you opening this up. I think it's really important for people to understand that GLP-1 is one of the key mechanisms of action. They do several different things related to satiety curtailing, sort of the cravings and other things. But it does also clearly slow down the GI track. And by definition, delayed gastric emptying. That is what gastroparesis is. So whether or not patients who are mostly diabetic, and that's what the original indication was for had gastroparesis beforehand, very mild perhaps. And then this addition of the GLP-1 sort of unmasked or exacerbated those issues, we're not certain exactly. And then -- or is it completely de novo new patients coming on with this. We have read stories online of some persons claiming that it's totally de novo, they had no problems beforehand. I still think it's just early days around that. And then in terms of whether or not GIMOTI has been used with any of these patients, of course, we're not promoting for anything in that nature. We do receive prescriptions from physicians and will pursue authorization for whatever reason they so choose to write it for. I myself happen to have met a nurse practitioner who did have significant symptoms associated with her own treatment of herself with WEGOVY and used GIMOTI to treat herself and her symptoms with that. That was her decision, we found out after the fact. And we also are hearing from physicians at the conferences, they're asking questions about utilizing GIMOTI to help patients with these problems. Because they do -- either do have gastroparesis or mimics it very keenly. So I think physicians are starting to find their own ways to deal with these problems which may, in fact, again, be gastroparesis.
David Gonyer: And Yale, this is Dave. Just one thing I'm going to point out. So this was not in our forecast assumptions for 2024, just be upside. So I want to make sure that's clear as well.
Yale Jen: Okay. That's great. And again, congrats on quite a nice performance so far.
Operator: This concludes the Q&A portion of today's call. I would now like to turn the call back over to Matt D'Onofrio for any additional or closing remarks.
Matthew D'Onofrio: Yes. Thank you. Well, building on the momentum from 2023, our guidance for net revenue again is that $14 million target for 2024. And that represents nearly a threefold increase from last year. This forecast in support of our strategy, the investments and has been central to strengthening health care providers’ belief in the value of GIMOTI. Again, we continue to strive for improved execution and the breadth of depth of prescription rates while continuing to invest in the evidence that supports GIMOTI’s outstanding brand. We look forward to sharing our progress over the course of the year and really appreciate you all for your continued support. Thank you very much, and we’ll close at this time, operator.
Operator: This concludes today's Evoke Pharma fourth quarter and full-year 2033 earnings call and webcast. You may disconnect your lines at this time. And have a wonderful day.